John Hernander: Good morning, and welcome to Volvo Cars headquarter here in Torslanda, Gothenburg. My name is John Hernander from the Investor Relations team here at Volvo Cars. And today, we're here to present and discuss our second quarter results just released today. With us today, we have our President and CEO, Hakan Samuelsson; and our CFO, Fredrik Hansson. The procedure will be as per usual. We will start with the presentation from Hakan and Fredrik, and then we will move into Q&A. [Operator Instructions] With that, I will give the word to Hakan to start the presentation.
Hakan Samuelsson: Thank you, and good morning to all of you listening. I'm here now to present my second quarter, more or less in line with our expectations, a very challenging quarter. So what we saw last quarter is more or less continuing. The volumes are still under pressure and that, of course, influence the pricing on the market. Pricing is, of course, also influenced by new competitors, especially in the EV segment. And on top of that, we are also seeing tariffs for imports into both Europe from China and also from imports Europe to U.S. So a very challenging environment. So here, it's, of course, important to focus on what we can do and that is really our turnaround program, which we presented already in the last quarter, and that is based on 3 areas. It is electrification, really utilizing this transformation to create a stronger Volvo. I think the electric market is maybe not growing as fast as we thought some years ago, but it's still growing and it's definitely big enough for Volvo to be successful on that market. Regionalization, we need to come back to growth in China and U.S. and that we believe will happen if we empower the regions more and give them more autonomy to react to local conditions, and that's happening also. And then, of course, we need to really concentrate on profitability. And we have our program with SEK 18 billion where we are fully on track and we are beginning to see the very first results from that. So let's look into then these areas and where we are and what we have done since last time we met. Electrification, fully electric, and of course, also pragmatically plug-in hybrids, plug-in hybrids with longer range as a solution that probably we will need for some more years than we thought. But it's very important here to really have the cars for electrification. And then we are very glad that the EX90 now, which has been delayed more or less 2 years is now finally ready for a ramp-up after some considerable improvements of the software quality in the cars. The same is valid for EX30. It's also now ready for ramp-up after the localization in Ghent. So we don't need to import this car from China anymore. So now we can avoid the tariffs and now we are ramping up the volumes as we speak. We also have a brand-new sedan on coming in, in production at the end of the year. And in China, we are also launching a very first long range PHEV which will go into production in the third quarter and is one of the most important thing for us to come back to volume growth in China. And very important is the EX60, which will be our best seller produced here in Gothenburg and will be our very first electric car with a very competitive cost positioning and it's also then making it possible for us to really get high volumes electric cars, but also good margins on electric cars. The regions, I said, the objective here is, of course, to have strong regions and come back to growth through more local decision- making, and more local accountability. And what we have done in China, we have established a more -- a new governance model, which means that China will be more run like a daughter company through a Board, of course, following certain corporate guidelines and so on regarding a brand and other things. But much more freedom to adapt to local conditions and to be able to grow faster. And we are also increasing the synergies with Geely. One example is, of course, we can introduce cars based on Geely platforms. The XC70 is one example, but we can also lower our costs by having a cooperation on more parts and components level. So that is happening in China. In Americas, also new leadership, more autonomy, more empowerment to really come back to growth in the Americas as well. And we have then also decided to move the XC60 from being imported into U.S. to being built in our Charleston plant. And that is a car which will bring high volumes to the factory, together with the increase of the EX90, will give that factory a much better utilization in the second half of '26. Here in Europe, we are introducing and producing the EX30, as I said, which is a possibility for us now to come back in this very important electric segment in Europe, where we have been low for some months, waiting for local production in Ghent. And very importantly, also in Europe, we have decided for a cooperation with Polestar to build their new Polestar 7 and engineer it also in cooperation with Polestar. And we will here build that car in our new Kosice plant in Slovakia, which is under construction right now. And then, of course, the third area is the turnaround plan, the SEK 18 billion cost and cash measures and that is well under track, but I will leave that to Fredrik, he can explain that better. So please, Fredrik.
Fredrik Hansson: Thank you, Hakan. So let's come to that, but let's first start with a bit of a financial update. And if we take the quarterly financials in brief, I think it has been a challenging quarter for many reasons, but we are operationally better than in Q1. We have a strong positive cash flow. And importantly, our turnaround plan is fully on track. We also have some very big noncash items, which is impacting the bottom line. And if we start with double clicking on the one-off. So we had 2 big items impacting profitability. Firstly, it's the impairment of the EX90/ES90 platform and this is really about rightsizing the assets to the known realities we see, mainly driven by delays and tariffs. And here, the EX90, first car out, it is a fantastic car. It's the best car we've ever built. I drive it myself, and I'm extremely happy. It's also been awarded the World Luxury car of the Year. That said, it did suffer from quite significant delays and software quality issues. And that's really from us introducing this car as the first car with core compute, climbing that mountain of technological leadership, if you will, that very few or even no traditional Western OEM has done yet with cars in production. But with this recent update -- and that's been challenging. But with recent updates to the car now, it's actually significantly improved and it is ready to scale up. But it has been delayed for almost 2 years. And that means lost volumes, and it means increased engineering cost. The other big part impacting here is tariffs. And I think especially for the ES90 where it will not be feasible to sell that in the U.S. It's a sedan well suited for the U.S. market. But with the tariff situation, we don't see a path forward. Also in EU and the profit equation has shifted from -- since the program was incepted as this car is produced in China and exported. So this results in total in a one-off noncash impairment charge of SEK 11.4 billion, which basically means that we take more cost now that we otherwise would have taken in the future. This also means that it reduces depreciation and amortization, i.e., improves the EBIT going forward by roughly SEK 1.2 billion per year. Secondly, we have the restructuring cost, and that's really linked to the turnaround program we announced earlier this quarter with a reduction of 3,000 white collar head counts. It's a one-off charge impacting EBIT now in the quarter with SEK 1.4 billion, and we will start to see the profit effects of this coming into force throughout the year, but especially in the fourth quarter. And the whole program is geared towards 2026 profitability. So with that, let's jump to the financials. So retail sales was down 12%, wholesale down 13%, revenue down 8%. And I'll come back to the details of this, especially the revenue. But a key thing to note on this page is that we now see retail and wholesale in balance. We had a big imbalance in Q1, but we're now back to normal levels where we expect it to be. We see EBIT down also excluding the one-offs, it is a very challenging market with U.S. tariffs kicking in at full force. And noting here, we're comparing this to Q2 last year, which was an all-time high EBIT quarter for the company. So it's a tough comparative set. I think there's a very positive note, though, in this quarter and that is the cash flow. We had a very strong cash flow, SEK 4 billion, and that's really from improved working capital, lower investment levels and showing the first signs of our turnaround plan starting to materialize where we get the first effects on cash. If we look at things a bit sequentially, so a quarter-by-quarter view comparing versus Q1. We see that we are sequentially improving on all parameters. Now to be clear, there's some seasonality in this, but we also see some of the first effects of the turnaround trend starting to materialize. On cash flow, disregarding the seasonality, we are SEK 10 billion better. In Q1, we also had SEK 6 billion inflow from the Lynk & Co sale. So if I adjust for that, it's a SEK 16 billion improvement quarter-on-quarter. Going into the -- some of the details then on revenue. So if we compare to Q2 last year, the decrease is mainly explained by lower volume, and that is driven a lot by lower EX30 sales. So in Q2, we are still importing the car from China, which means that we had a 19% higher tariff than we had last year. FX was also negative due to the strong SEK and this was partially offset by used car sales, which have now reached normalized levels. And we had revenue in the other bucket there, which in part is inflated by a big one-off transaction linked to used U.K. subscription cars of SEK 3 billion, which is included in that other bucket. A key thing to note here is that this inflates revenues, but it's both profit- and cash flow-neutral in the quarter. But so in total, we landed revenues at SEK 90.5 billion, excluding the contract manufacturing, which is an 8% decline as compared to last year. If we turn to EBIT, Q2 last year, again, was all-time high so a tough quarter. If we look at this year, we see a challenging market and price pressure that has now rolled for 12 months, basically, meaning that SEK 2.5 billion is lost from volumes, SEK 3 billion is lost from sales mix and pricing. We do see some positives from FX, but this also includes positive effects from our hedges. And we are quite well hedged also for the coming 12 months ahead. Other, minus SEK 0.5 billion, it's a negative, but it's only slightly negative despite the fact that this includes massive impact from the U.S. tariffs and increased depreciation and amortization. And this was basically offset by lower indirect costs and quite significant variable cost reductions. So all in all, we have an adjusted group EBIT of SEK 2.9 billion or 3.1% despite the somewhat inflated revenue number back -- on the back of the U.K. transaction I just described. If we include the one-offs then and the noncash impairment, we'll end at minus SEK 10 billion on a group EBIT level. Turning to liquidity. We started the quarter with SEK 47 billion of cash and ended with SEK 56 billion of cash. So that's a strong SEK 9 billion improvement in liquidity, both from a strong free cash flow improvement of SEK 4 billion and then a bond of SEK 5 billion that we issued in the quarter. On free cash flow, we see that EBITDA contributes SEK 8 billion. Net working capital improved SEK 11 billion on all the underlying parameters, including very well-executed production planning and inventory management. We had investments of SEK 14 billion, but that includes transactions done within the quarter linked to U.K. and basically the change of our financial services setup, which technically was us buying a company, i.e., an investment and then selling the car, i.e., net working capital reduction. So if you normalize for this, you can say that the investments ended at SEK 11 billion negative and net working capital at plus SEK 8 billion, which is a more fair view to look at it. Importantly then, and as we see the first effects of our cash flow in this quarter, the SEK 18 billion cost and cash action plan is fully on track. We announced this target in Q1, a SEK 3 billion variable cost reduction in '26 as compared to 2024, absolutes. A SEK 5 billion reduction in indirect spend in '26 full year as compared to 2024, absolutes. And then on CapEx and working capital, a SEK 10 billion reduction beyond the planned reductions we already have as we're stepping down the CapEx mountain. If we look at the developments here, we see on variable cost we have during the quarter initiated with force joint procurement activities together with Geely, really leveraging the scale of the total group in our negotiations with suppliers. On indirect spend, we announced a 3,000 head count reduction and we've already started to execute on that. So by today's date and as we go into vacation here in Europe, 1,100 people have already left the company. On CapEx and working capital, we do see effects. We've had lower investments in the first half of this year as compared to the first half of last year, and we also see a reduction in working capital. A very big reduction in absolutes, but also in relatives as compared to where we are on sales pace, we see a real reduction coming in from this program. So with that, let's leave it to Hakan again to summarize.
Hakan Samuelsson: Short summary. So what did we see? We saw revenues and volume continued under pressure. We saw the profitability if we see it from quarter-to-quarter, which I think is one natural logic right now because I think the quarter 1 was a sort of down point and now we need to improve from that position. Then we saw a very slight improvement in profitability in EBIT without the one-off posts. But most importantly in this quarter is that our turnaround program, we can confirm is fully on track to deliver the SEK 18 billion we have as a target and very positive to that, I think, is the cash flow, which I think you should see as an indicator that this program is delivering. I think that's very promising. And it starts, of course, exactly where you would expect it to be seen first and that is on the cash flows. I think that is the most thing important with this result in the quarter and something that we are really positive and satisfied. With that, I think I end my summary and ready to take any questions from you. And I think, John, you will lead us in the questioning.
John Hernander: Yes. Thank you, Hakan, and thank you, Fredrik. We now move into the question-and-answer session. [Operator Instructions] And we have a couple of callers calling in. We will start with Harry Martin from Bernstein.
Harry Martin: I'll start with the XC60 production locally in the U.S., how long do you expect that to take to reach the level of volume that would make a material change in capacity utilization in the Charleston plant? That's the first one. The second question, just on the benefit from selling the on-balance sheet cars in the U.K. I think you had a similar benefit in Sweden recently to the revenues as well. Are there any more markets where you have similar resets to come just in modeling firms? And then the final one on cash generation and free cash flow. There's a lot of different moving parts in Q2, but I wanted to focus more on normalized free cash flow. If I give credit for the investment reduction plan versus 2024, it looks like free cash flow breakeven would be around SEK 40 billion of EBITDA, that will be about SEK 15 billion-plus and more than that adjusted EBIT in years when you have high restructuring charges as well. Is that the right way to think about the cash breakeven? And does that imply that it really will be 2027 or beyond before this business starts generating cash again?
Hakan Samuelsson: Okay. Maybe I can start with Charleston and then, Fredrik, you can think about the other two. We are bringing in a car from -- which is today made in Torslanda. So we are doing that as fast as we can, really, which will mean some parts will continued being produced in Sweden and brought to Charleston. So we can do it rather quickly. So we expect by the end of next year, we will have the production ongoing. And then, of course, we need some months to really ramp it up to the levels we are selling the car so we will take another couple of months. But we should in the beginning of year '27 then, very early, we would have the volumes. And the volumes last year, we sold 40,000 of this car line in the U.S., that gives you an indication of the volumes looking forward.
Fredrik Hansson: And then if we take the question on the used cars in U.K. or back book, as we call it internally in the company. Now this was the last major transaction, if you will. And I think a key point to note on this transaction was that when we sold cars in Sweden, that was cars that was on our balance sheet that we offloaded from the balance sheet. In U.K., this is a different story. So it's more about switching the financing provider. So these cars were not on our balance sheet, and they were only now temporarily on our balance sheet intra-quarter. So we bought the company in the beginning of the quarter containing Volvo Cars and then we sold that to our financial service joint venture in the U.K. Technically, that means basically a wash in terms of both cash and profit, but it does create this effect. I showed on the liquidity walk that it looks like we're investing cash flow into a company. And then when Volvo sells cars, that's, of course, running business. So it ends up in another bucket. So one needs to sort of neutralize those, but they are not really impacting neither cash flow nor profit in the quarter. It is, however, impacting revenue then. So revenue becomes a bit inflated, which means that EBIT percent excluding that would be 3.3% instead of 3.1%, for instance. On the last question, I'm not sure I fully followed, but I take it as when do we start generating cash again, if I summarize it.
Hakan Samuelsson: Good question.
Fredrik Hansson: And it's a good question and our key focus, right? And it's also why we have launched this turnaround plan. We're not providing any guidance given the uncertainty, and I think especially the order of magnitude of the tariffs in the second half of the year and the years to come will have a material impact on that. So it's hard for us to provide guidance. But what we can say is that we are climbing down the investment mountain. We have, with the EX60 now coming next year, made drastic cost reductions and those cost reductions also come with a CapEx price tag. We have mega casting, we have cell-to-body technology, we have in-house e-motors, all innovations that will structurally create a cheaper car to produce with better performance. And we believe that, that's going to be a real unique offering in the market in our most important segment. Once we've paid for that fully and once Kosice then is fully up and running, then these big structural investments in our investment mountain taking us to core compute, taking us to cell-to-body expanding the production capacity, those are nonrecurring things. We will not build another mega-casting foundry in Torslanda in the coming 40 years, I can assure you. So that will leave us at a structurally significantly lower level of investments, and it will bring great products and growth for the company, which in combination should have all the prerequisites to create really strong cash flows. We don't guide exactly when, what and how, but those are sort of the puzzle pieces or fundamentals playing into this.
John Hernander: Thank you, Harry. Then we have the next caller, and that is Hampus Engellau from Handelsbanken.
Hampus Engellau: Can you hear me?
John Hernander: Yes.
Hampus Engellau: Excellent. Just cutting off, sorry. Yes, 3 questions on my side. Just to clarify, on this one-off charge related -- the part of it that is related to tariffs and the ES90, is that based on like 25% tariffs? Or is it based on what most people expect, the 10% tariff? That's the first question. Second question is more related, if you could maybe say something about CO2 right sales compared -- what you expect in this year compared to last year given the change in Europe? And then the last question is related to the XC70 long range, a very interesting vehicle. When will you take that to Europe and U.S.? And what risks do you see in cannibalization with the EX60 and the XC70 long range?
Hakan Samuelsson: Can I start with the last one?
Fredrik Hansson: Yes, start with the last.
Hakan Samuelsson: With a not very precise answer because we are normally not that precise about product development. But in China, we are developing a car which is very attractive for the Chinese market. I think it's more car and electric car with a backup engine than a plug-in hybrid. And of course, this is a car, which I think will be something European consumers also will want to have in the future, and we are looking into various possibilities to be in that market segment with the different cars we have in our portfolio. And that is really what you could say. But the cannibalization, I think, is a wrong word. I mean, we will always have product development and there will be new cars. And of course, we need to continue that and I don't think you can see new cars as cannibalizing from old ones. I mean, that has -- will happen. So what's important is we should keep our market share to customers who wants to have an electric car, but don't need to worry about a flat battery somewhere on their way to order, for example. Those are the customers who probably would like to have something like this one. Long answer with not any precise information, sorry. But Fredrik?
Fredrik Hansson: If I continue with the other two. So I think on ES90 and the tariffs, I guess the current situation is it is manufactured in China, which means we have 147.5% tariff on the core. Part of that we can use our duty drawback system for as we are manufacturing and exporting cars from the U.S. as well in the same category. But it still leaves us with a 45% extra tariff, if you will. So it's both the automotive tariffs and additional China tariffs. So even if there's a change in the automotive tariffs, we still see that this will be a challenging profit equation for the car. I mean, we are, on average, not for this specific car, but if I talk in general terms, we're a 20%, 25% gross margin. And if you have 45% tariff that's naturally detrimental to the whole equation and the feasibility of launching and introducing it as that also has costs.
Hampus Engellau: There's no plan in moving the ES90 production to Europe?
Fredrik Hansson: No. We don't have any plans for that currently. Of course, as with everything, let's see how sales develop and let's see how tariffs develop and then we adapt accordingly. On CO2 sales versus last year, I think the big difference is -- so last year, the bulk of our sales, it was a smaller volume and it was mostly in the U.S., very low volumes in Europe. I see this year with the tighter fleet emission standards in Europe, we see quite significant profits from selling in Europe, whereas we don't see a clear path forward to selling credits in the U.S. given the recent developments on -- and rulings on said mandates and changes to the CAFE credits. If you look at the numbers and absolutes, then I guess we are reporting SEK 1.6 billion for the first half year, which is significantly more than we did last year. In the quarter, isolated, I think we sold credits for SEK 400 million Q2 last year. So it is a more substantial amount here in Europe. And we expect this to continue, of course, as we have contracts in place.
John Hernander: Thank you, Hampus. Then we go to the next caller, and that's Pushkar Tendolkar from HSBC.
Pushkar Tendolkar: And I have a couple of questions. So the first one is after these impairments that are related to, let's say, lower volume assumptions -- lower profitability assumptions for the EX90 and ES90, is there also a risk for the EX30 as well? Because there also your volumes are much lower than what you would have expected earlier? Or if not impairments, do you have to pay penalties to Geely for lower offtake of volumes than what you would have previously communicated to them. That's the first one. The second one is then about -- just about growth, right? How does Volvo plan to drive growth because right now, I mean, at an annualized level, 700,000, 750,000 units. At one point, the target was 1.2 million. You are investing in a new plant as well. So what is the plan to grow? How do you see that in the medium term?
Hakan Samuelsson: Maybe answering that one, growth driver is a good question. I would then highlight the new regions, bringing more empowerment to the regions, taking faster decisions, reacting to customer demands locally that we do because we want to grow faster in China and U.S., that's really the reason. Second is, of course, having the right cars. That's why that's important to roll them out and especially the EX60 is, of course, definitely a growth factor for us. And thirdly, it is also to be better on the cost side. And that's, of course, one reason to -- way to come down in cost, to have a better design. I think EX60 is designed for a much lower cost from start. Mega casting and cell-to-body technology, as an example. But also utilizing more synergies with Geely is also a growth driver. We can do that on the part and component level. We can do it on the car level where we can broaden our offering with their technology. XC70 is a good example. So that, I would say, are major growth drivers looking forward.
Fredrik Hansson: And maybe adding to that and emphasizing, I mean, we are in the next 12 months basically -- or I shouldn't be that specifically in -- during 2026, we are expanding our addressable market. The XC70 in China alone, that is a play into the new energy vehicle segment. That is the 25% CAGR growth segment we're going into, where we're combining the best of local technology and Western brand credibility, which means we will tap into something unique. So we see great opportunities there to address whole new customer groups. And I think likewise, and emphasizing on the EX60, I mean last year, we sold 230,000 XC60s. That's, by far, our most important car. That is the core and bread-and-butter of Volvo cars. We are still leading in electrification among all the traditional premium OEMs despite the fact that we don't have an offer in our 60 segment. It is the world's most selling car, all categories. Tesla Model Y is in that size segment. We're not really playing there. And here, we're coming with the EX60 on a super-cost competitive and high tech setup. So we have really high hopes that, that will also not just eat from the cake we have, but actually expand the product offer and the markets we serve. And that should give us growth.
Hakan Samuelsson: And then regarding possible write-off, I could say we don't see that. And the reason for the write-off is not lower market volumes. We will always have market volumes going up and down. The reason for this onetimer was a 2 -- more than 2 years' delay with lost revenues and additional R&D cost. I mean, that we don't see is going to happen. So the volume of EX30 is not a risk factor in this respect. And the volumes are now picking up. They have been a bit low because we had a pause here going from imported Chinese cars to locally produced. Now that production is ramping up, so the volume of that car will also now pick up. And the contracts is also not a factor that will influence any possible write-offs going forward. We cannot go into exact our contracts. But I mean, those contracts are flexible enough to -- for us to adapt to the volumes we need.
John Hernander: Thank you, Pushkar. We now have a written question here from Mattias Holmberg, DNB. And he would like clarification of the U.K. transaction, both how it sort of impacted the free cash flow, working capital and also your comment on sales and margin, just a clarification.
Fredrik Hansson: Let me try again. So the context is we're basically switching financing provider for this, you could say. And as part of that, we bought the company, which contained cars for roughly SEK 3 billion. So that was an investment hitting investment cash flow SEK 3 billion negative. That we did in the beginning of the quarter. At the end of the quarter now, we then sold those exact same cars to our financing joint venture for them to take over operations of this. When we then sell those cars, given that we are a car company, that's not selling an asset, that is selling a car, usual business. That means that it goes into the revenue line instead. And on a cash flow basis, it reduces our inventory, if you will. So on cash flow, investments, if you neutralize for this, is SEK 3 billion lower. And net working capital improvement is SEK 3 billion lower as well. On revenue, revenue is SEK 3 billion higher, all else equal. Profit, this is a nonprofit transaction. So we're not losing or making any money on it. So it doesn't impact profit at all. What happens though is as it inflates revenue as we're buying a company and selling cars, that dilutes all the percentage points if you look at gross margin percent or EBIT percent, for instance, as we're selling SEK 3 billion of cars with 0 profit, you could say. And it's really a structural move to move into the new provider, you could say. Hopefully, that clarified it.
John Hernander: Otherwise, Mattias, just reach out to us at IR and we'll be happy to help, of course. We go to the next caller, that is Nikita Lal from Deutsche Bank.
Nikita Lal: I would have also 2. The first one is on the cost from the localization of the XC60 in the U.S. Can you quantify it? And when will it be expected to hit the P&L? And the second question is on the tariff impact. Could you give us any figures how this impacted Q2? And if we should think about a higher or lower impact in the coming quarters because of mitigation impacts.
Fredrik Hansson: Yes. I think if we start with the XC60, I mean, we're not disclosing the exact amount, but it's a low or very low single-digit billion. And that's on the back of the Charleston plant, we have already produced SPA cars. So SPA1 is the base platform for the XC60. As late as last year, we still produced XC60s on the SPA1 platform. That means that the plant is already adapted for that production. That means that we can find very cost-efficient ways to basically do this. On tariff impact, we're not disclosing the details of it. But I mean, we did have, I would say, almost full impact of tariffs in the second quarter. We also have mitigating effects we're starting to take, some we started already in April in terms of reducing discounts. We are now with the new model years, model year '26 also increasing the MSRP, so the price tag, if you will. Some of that has come already now then in Q2 as we started in April. Some more will come in Q3. But on a total level, we've said before that this will impact group EBIT by 1% to 2% in the year, and that's the same level of guidance we're talking about. But it is hitting at very high force in Q2.
John Hernander: Thank you, Nikita. Let's go to the next caller, and that's Sam Perry from Exane.
Samuel Perry: Can you hear me?
John Hernander: Yes.
Samuel Perry: Yes. Perfect. Sorry, could you just clarify the EBIT impact from the CO2 -- the emissions credit sales and what you could expect that to be going forward as well?
Fredrik Hansson: So it's -- the sale is basically at profit, you can say. So it's SEK 1.6 billion impacting EBIT this quarter, and that accounts for the full half year then. So both Q1 and Q2 sales. And we've received the cash for Q1 already. Going forward, we don't provide guidance. But I mean, we expect this is contingent on our fleet CO2 emission levels. And as we've talked about before, EX30 will start European production at full scale, meaning more electric sales in Europe, for instance. So we expect fair amounts also going forward. It does boost Q2 profit a bit. But one should also note that we've had a lot of probably 10 smaller items linked to changes in capitalization, true-ups and things sort of disturbing comparability. So if I take Q1 and Q2 and flush all of that out, I still at the bottom line see a higher EBIT absolute in Q2 as compared to Q1.
Samuel Perry: But those sorts of things would have been -- I guess, just trying to sort of clarify sort of one-off positive impacts year-over-year from the sort of balance sheet cars that you've spoken about in the U.K. and the emissions credit sale combined. If I look at that, that's pretty -- that's a large portion of your EBIT for the quarter.
Fredrik Hansson: Yes. And it is -- I mean, it has thus become hard, right, because there's a lot of things impacting and there's also a lot of smaller items we're not disclosing, which is also impacting and a lot of them are hitting negatively now in Q2, which will not be of a recurring nature. So -- but again, so if I adjust for all that changes in capitalization, [ VME ] impacts on subsidy schemes changing temporarily in the U.S., for instance. And some one-off payments, adjustments in warranty, it's a long list of things. If I normalize for that and compare Q1 to Q2, I still see an absolute Q2, which is slightly stronger than Q1.
John Hernander: Any more questions there, Sam or...
Samuel Perry: No.
John Hernander: Okay. Thank you very much. We have 2 written questions now coming in. You seem to lose market share on EVs in the first half. What are the main drivers behind that and what is needed to turn? That's the first question. And the second is that should we expect a significant reduction in CapEx for the rest of '25?
Hakan Samuelsson: I think the first one is a rather easy explanation and this EX30 was sold in high volumes imported from China. And then the tariffs came and put a halt on that. And then we had a sort of month here where we paused that sales and now it's coming locally produced in Ghent, and now we are ready to come back to higher volumes. So I think that is the big explanation for market share losses during these months.
Fredrik Hansson: And when it comes to CapEx, I mean, we are also not guiding for the rest of the year, so it becomes a bit hard. But what one can say about CapEx is that it is -- it's very linked to car launches, right? So we typically pay for the tooling, which is the big part of the CapEx investment in a new car after production has started. So if we look at this quarter, we, of course, started production of the EX30 in Ghent. If we look at the second half, we will start notably production of the ES90, which will then impact CapEx as we're paying for that tooling. But we are also as part of the turnaround program looking into what of these can we delete, push, kill. And already in Q2 now, we have taken out significant deletions, not just moving, but actually deleted things. Not impacting our overall strategy, not impacting our ability to grow or the core products, but things we've decided not to do basically.
Hakan Samuelsson: And the future-oriented big investments in new platforms and so on, that has been taken. And now we are on our way down to a more -- back to a normal investment level. And that's, of course, really important for our cash generation.
John Hernander: Then the last question here. There has been some media reporting that you will also start to build the XC90 in Charleston from 2028. Any comments on that?
Hakan Samuelsson: No. I think I saw that speculation. Also, of course, one day we will need a new XC90 as it was launched sometime 2015, okay. But I think it's -- there will be probably more speculations about them before we can say anything more concrete. So right now, we are adding the 60 and then we have the 2 electric cars built in Charleston. And when that picks up now in volume, I think we have a reasonable utilization of that factory, which is, of course, really good also for our financials because there are fixed costs that has to be taken, and they are there even without the volume.
John Hernander: All right. That happens to be all the questions now, and thanks a lot for the interest. And if there's anything you need to clarify or want to follow up on, of course, just reach out to us at IR. But thank you very much, and look forward to talk to you again in the third quarter, if not sooner. Thank you.
Hakan Samuelsson: Thank you.
Fredrik Hansson: Thank you.